Operator: Good day, ladies and gentlemen, and welcome to the Avinger Second Quarter 2021 Results Call. All lines have been placed on a listen-only mode and the floor will be open for questions and comments following the presentation.  At this time, it is my pleasure to turn the floor over to your host, Matt Kreps. Sir, the floor is yours.
Matt Kreps: Thank you. I would like to welcome you to Avinger's second quarter 2021 conference call. Joining us today are Avinger's CEO, Jeff Soinski; and Chief Financial Officer, Mark Weinswig. Earlier today, Avinger released financial results for the second quarter ended June 30, 2021. A copy of the release is posted on the Avinger website under Investor Relations.  Before we begin, I'd like to remind you that management will make statements during this call that include forward-looking statements within the meaning Federal securities laws, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that are not statements of historical fact should be deemed to be forward-looking statements.  All forward-looking statements, including, without limitation, our future financial expectations, are based upon our current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For a list and description of the risks and uncertainties associated with our business, please see our Form 10-K and Form 10-Q filings with the Securities and Exchange Commission. Avinger disclaims any intention or obligation except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise.  And with that, I'd like to now turn the call over to Jeff.
Jeff Soinski : Thank you, Matt. Good afternoon, and thank you all for joining us. We're excited to report another strong quarter for Avinger, driven by growth across our platform as we build scale and expand distribution of our best-in-class line of image-guided PAD catheters. Our Pantheris SV device has been a primary growth driver to do its compelling advantages for the treatment of small-vessel disease, especially in the challenging to treat arteries below-the-knee. The success of Pantheris SV has been supplemented by continued strength in our Pantheris next-gen device and rapid scaling of our Tigereye commercial launch, which has returned our image-guided CTO crossing business to growth.  Launching 3 new innovative devices over the past 3 years has enabled us to make significant inroads into new accounts and secure a greater share of cases at existing user sites. We're looking to expand upon that success with 2 new 510(k) filings in the past 45 days, both of which we expect to provide opportunities to meaningfully accelerate adoption of our technologies in the future. In June, we filed a 510(k) submission with the FDA to expand our U.S. label for Pantheris to include the treatment of in-stent restenosis or ISR which we believe would provide a highly differentiated competitive advantage for our atherectomy products in an underserved market. Just yesterday, we announced that we have filed a 510(k) submission for our next-generation Lightbox 3 imaging console. We're excited about the potential for this highly portable advanced laser system to accelerate the pace and efficiency of new account acquisition and bring new capabilities to our platform. We are also continuing to invest in the expansion of our sales force to provide greater geographic coverage and support more user sites. We've opened more than 30 new accounts over the past 12 months clearly affirming the appeal of our expanded product line and the ability of our sales team to meaningfully engage with the physician customers to drive new technology acquisition in their institutions. We delivered excellent financial results in the second quarter with procedural volume improving towards pre-pandemic levels in the first half of the year. Our second quarter revenue increased 91% year-over-year, continuing a positive trend from the last 3 quarters. The second quarter set a 4-year record for catheter sales as users continue to increase utilization of our devices at both new and existing sites. With increasing COVID infection and hospitalization rates being reported throughout the U.S. due to the Delta variant, we're beginning to see limitations on elective procedures being discussed, and in some cases, implemented in certain hospitals and markets, especially in the South. We're maintaining our full field presence at full strength, but this is something that we believe has the potential to impact procedural volume in the third quarter, and we're watching closely as the situation evolves.  We've grown revenue for our Pantheris family of atherectomy catheters by over 50% on an annual basis for the past 3 years. And now with the launch of Tigereye, we are driving significant growth of our CTO product line. We advanced the full commercial launch of our Tigereye CTO crossing catheter in January 2021, and we've been pleased with the initial market response. Our early success with Tigereye increased our total image-guided CTO revenue by 114% year-over-year in the second quarter, returning our CTO franchise to growth and expanding our share of the approximately $100 million peripheral CTO market. We have now launched Tigereye at more than 40 sites, and we continue to engage with new customers each week. Clinical feedback on Tigereye continues to be positive with its enhanced imaging, new distal tip design, increased control and higher rotational speeds, enabling physicians to safely and effectively cross complex CTOs. Our Pantheris SV catheter also continues to be a major growth driver for the company by expanding our image-guided atherectomy solution to the small-vessels below the knee. We hit the 100 active accounts mark for Pantheris SV in April, illustrating physicians' interest in this highly differentiated device. BTK is an underserved market with a high number of patients suffering critical limb ischemia, or CLI, the most severe form of PAD. The onboard image guidance provided by Pantheris SV enables physicians to target plaque in vessels just 2 to 4 millimeters in diameter while avoiding damage to healthy tissue. Most important, physicians continue to achieve outstanding and durable results with Pantheris SV in their clinical practice.  To document these results, we are expanding our IMAGE-BTK post-market clinical study designed to evaluate the safety and effectiveness of Pantheris SV in the treatment of below-the-knee lesions. We are currently enrolling the study in 4 clinical sites and plan to add 2 to 3 additional sites this quarter. Our objective is to complete enrollment in the study by early next year with patient follow-up data collected at 30 days, 6 months and 1 year post treatment. Based on the clinical results we've seen to date, we are very excited to have data available to share with the clinical community in 2022. Looking towards the second half of the year, let me share some details on our key initiatives. We expect 2021 to be a pivotal year for Avinger with several growth drivers and strategic updates coming together. These include increased market penetration of our Pantheris SV device; the continued rollout of Tigereye to our growing customer base; the 510(k) filing, clearance and initial release of our Lightbox 3 next-generation imaging console; and the pending U.S. label expansion for Pantheris to include an in-stent restenosis indication. We are also strategically expanding our sales force, expecting to increase our team to over 30 professionals by year-end, including both sales representatives and clinical specialists in both existing and new high-potential markets. Turning to our pipeline products. As mentioned previously, we've now filed a 510(k) submission for our Lightbox 3 next-generation imaging console. We believe the Lightbox 3 represents a major leap forward in imaging, portability and capability to accelerate new account acquisition and energize existing users. We hope to receive premarketing clearance and have the Lightbox 3 available for initial launch by the end of this year. Lightbox 3 incorporates an advanced solid-state laser, a more powerful computing platform, redesigned software system and highly intuitive user interface designed to streamline workflows for practitioners and support increased utilization of our image-guided devices. This next-generation console delivers all of these enhancements within a radically reduced footprint and at a much lower cost, which is anticipated to speed the evaluation process and reduce barriers to adoption in new accounts.  For perspective, the Lightbox 3 fits into a case the size of a carry-on suit case and weighs less than 20 pounds, a 90% reduction compared to our current console. The new Lightbox 3 is anticipated to reduce cost by as much as 50%. While we advance Lightbox 3 through the regulatory approval process, we are also working to expand our peripheral product portfolio with new PAD catheters that would provide additional utilization opportunities and further streamline our procedures. We expect this work to lead to 2 new 510(k) filings in the first half of 2022, and we'll share more details on these initiatives as we get closer to that time.  We're excited about our recently filed 510(k) submission seeking FDA clearance to add the ISR indication for Pantheris. This filing is based on highly compelling data generated from our INSIGHT clinical trial, which clearly demonstrates the safety and efficacy of Pantheris for this indication. We expect to release this data at a major clinical conference later this year.  With 200,000 stents deployed in the lower extremity arteries and the high propensity for restenosis or lesion recurrence over a 2- to 3-year timeframe, the sheer number of ISR procedures performed in the U.S. each year provides a significantly expanded market opportunity for Pantheris. Due to the limitations of current approaches, physicians often face challenges when treating ISR both in terms of safety and efficacy. If approved, Pantheris would provide a compelling use case in an underserved and difficult-to-treat market with a large patient population whose medical needs directly align with the unique benefits provided by our platform. While we've made big strides advancing our peripheral product portfolio in recent months, we've also begun working on what we believe could be the largest new market opportunity for Avinger, the application of our proprietary technologies for the treatment of coronary artery disease, or CAD. The treatment of CTOs in coronary arteries represents a clinically challenging and largely underserved market. We believe that our image-guided platform could bring significant clinical benefits to this market segment and provide a highly attractive opportunity to expand our business. Currently, only a limited number of interventional cardiologists attempt less invasive but highly complex percutaneous coronary intervention, or PCI, procedures that require the use of multiple wires, balloons and other devices and carry a risk of perforation or other procedural complications. Even so, it's estimated that approximately 50,000 CTO PCI procedures are performed in the U.S. each year.  In addition, it's estimated that over 200,000 highly invasive Coronary Artery Bypass Grafting or CABG surgeries are performed in the U.S. annually with up to 30% of these procedures related to the treatment of coronary CTOs. This creates a sizable and growing market that we believe is ripe for expansion with proprietary new tools that would make a percutaneous approach accessible to more physicians and reduce the need for extended time under fluoroscopy radiation with potentially fewer procedural complications. We believe that our proprietary OCT-guided technology platform is well suited to provide the basis for new based solutions designed to help position safely and effectively cross coronary CTOs on a less invasive percutaneous basis. Augmented by our learning with Tigereye in the peripheral arteries, we've begun initial development of an image-guided CTO crossing device for the coronary arteries. While it will take time to complete product development and we anticipate that a clinical study will be required to support the regulatory clearance process, we believe this could be a transformational opportunity for Avinger that would significantly increase the addressable market for our products and change the standard of care for coronary CTOs. We look forward to discussing more details on our future calls as we advance the dedicated development effort this year.  This is an exciting time for Avinger as our product, clinical and commercial initiatives come together. As we transition to growth across our primary product lines and upside opportunities from our Lightbox 3 and open new market opportunities with our clinical programs, we provide new growth opportunities for the company, and most importantly, empower physicians to provide the best possible care for their patients with the most advanced therapeutic devices on the market.  At this point, I'd like to ask Mark to cover the financials, and then I'll return to Q&A. Mark?
Mark Weinswig: Thank you, Jeff. Total revenue for the second quarter of 2021 was $2.8 million, a 91% increase from the second quarter last year and up 10% from the first quarter. It's important to note that many of our sites were still working to return to pre-COVID volumes in the second quarter of 2020. We are continuing to monitor market conditions for the rest of this year, particularly in the Southeast where the Delta variant has been more prevalent.  The second quarter of 2021 included record Pantheris SV sales and strength in our CTO business driven by contribution from our new Tigereye CTO catheter. Growing our recurring revenue streams continues to be a core element of our commercial strategy. Gross margin in the second quarter was over 36%, up from 24% in the second quarter of last year and up 1 percentage point sequentially. Avinger's contribution margin from incremental sales of disposable products is far higher than our reported gross margin, providing important leverage in our operating model as we scale the business to drive more revenues.  Operating expenses for the second quarter were $5.4 million compared with $4 million in the year-ago period and $5.5 million in the prior quarter. The prior year included certain temporary reductions as part of our response to the COVID-19 pandemic.  We're continuing to grow our commercial sales team, invest in product development, including our new Lightbox and next-generation catheter solutions and from clinical programs to fuel future growth.  Net loss attributable to common shareholders was $2.5 million in the second quarter, down from $4 million in the second quarter a year ago and $5.1 million in the first quarter. The second quarter of 2021 included a onetime gain from the forgiveness of the loan received under the Payment Protection Program.  Adjusted EBITDA, which is a non-GAAP measure that excludes certain excess and obsolete inventory charges, depreciation and amortization expenses, stock compensation and other items, as noted in the tables in today's press release, was a loss of $3.9 million in the second quarter compared with a loss of $2.9 million in the year ago quarter and $4 million on a sequential basis. A copy of the reconciliation from net loss to adjusted EBITDA can be found in today's press release, which is also posted on our website at www.avinger.com, under the Investors section. Cash and cash equivalents totaled $26.7 million at June 30, which is expected to fund sales force expansion, new product development and clinical plans through 2022.  At this point, I'd like to turn the call back to Jeff for Q&A.
Jeff Soinski : Thanks, Mark. The second quarter continued our positive momentum as we continued to drive growth across our best-in-class product line and advance our new product pipeline. We're focused on executing our strategy to build value for Avinger's stockholders and fulfill our mission of radically changing the way vascular disease is treated.  With our recent 510(k) filings, our new product development efforts and clinical study programs and an active and growing sales force, we're well positioned for the future.  At this point, we'd be happy to take your questions.
Operator: [Operator Instructions]. Our first question comes from Marc Wiesenberger with B. Riley Securities.
Marc Wiesenberger: Nice to see the continued momentum. Shortly after Pantheris SV was launched, we had the onset of the pandemic. And I'm wondering if the first half of 2021 kind of feels like a reset on that launch? And how receptive are physicians to learning about the new capabilities? And then I guess also with the recent launch of Tigereye, can you talk about some of the cross-selling dynamics and the ability to either pull in increased utilization or new accounts?
Jeff Soinski : Yes. Thank you, Marc, for the question. So first of all, as it relates to Pantheris SV, you're right, we had launched Pantheris SV, quickly entered the challenges of the initial wave of the pandemic and had the resulting impact across the board as the whole industry on revenue, especially in the second quarter of 2020. We did keep our team in the field wherever possible, we maintained presence. And as you saw in our third and fourth quarter results, we came back pretty quickly from the hit on pandemic, especially the pandemic, especially as we got into the fourth quarter and then the first quarter as procedural volume increased.  We saw a continued increase in procedural volume in the second quarter and that's reflected in our results. Not fully back to where the procedural volume had been in pre-pandemic, but at the same time, we expanded our share and our penetration with Pantheris SV based on the utility of that device. And so we see Pantheris SV positioning the company very well, especially when there is a more limited environment where only emergent or urgent cases are being treated, because Pantheris SV is primarily used below the knee where CLI or critical limb ischemia is most present.  So in a way, the presence and the strength and the clinical and physician acceptance of Pantheris SV, I think, really helped us come back quickly after the significant impact of the pandemic. So we continue to see great results. We've had several new users adopt our Lumivascular platform and become customers of Avinger because of this solution, because they feel so challenged in providing safe and effective atherectomy that provides significant luminal gain below the knee.  We also think the information provided by SV during a case as it relates to vessel size, presence of calcium, presence of media wall, calcium, et cetera, is very, very useful in these challenging below-the-knee lesions and critical limb ischemia cases. So glad to have that product in our portfolio, continue to develop new data in IMAGE-BTK. There are a couple of physician-sponsored studies that are ongoing as well, focused exclusively on Pantheris SV and the utility of that device below the knee, which could lead to future publication.  So I'll just, kind of, pause there for a minute and see if you have any other questions on SV and then we can get over to Tigereye.
Marc Wiesenberger: No, I think that was pretty good on SV, just about the cross-selling dynamics and the pull-in from utilization of new accounts from Tigereye.
Jeff Soinski : Yes. So with Tigereye as we discussed on the call, we've now launched into over 40 accounts. Tigereye is, as you know, a CTO crossing device. Because it is a CTO crossing device, the vast majority of accounts and the primary appeal is in the hospital market, which is less sensitive to some of the reimbursement issues and cost issues. And so we -- virtually all of our Tigereye business is in the hospital, that -- the success of Tigereye has done a couple of things for us.  First of all, by adding that revenue with little cannibalization to the Ocelot business, it's driven a dramatic growth in our CTO business, which had been declining as we had a more mature product entry and kind of longer-standing product in place. The other thing it's done is it's enabled us to really engage with our reps, especially our new reps and clinical folks who maybe hadn't had as much experience selling and treating CTOs. And so this brought a lot of energy to CTOs overall as we engage with physicians in those hospital accounts. And then the final thing that we see happening here is unlike Ocelot, which does not -- is not driven by our SLED-based system, the Tigereye is driven by our SLED-based system and as is our Pantheris. So when Tigereye is used in a case, and that CTO has crossed, everything is set up already to just immediately and rapidly exchange the Tigereye catheter for a Pantheris catheter, and that has led to certainly a good number of what we call combo cases where the image-guided approach is used to safely cross the CTO, avoid going subintimal and damaging the lumen and then following with image-guided atherectomy for the same intent.  So we do see that. It's still a building story. Tigereye is still very new to the market. We're learning about it. Our physician customers are learning about it. We're learning and refining training capability. But we're really pleased with how things are going so far. And having consistent imaging and using the SLED-based system, I think, does create for easier transition to a Pantheris catheter following CTO crossing.
Marc Wiesenberger: Sure. That was very helpful. And it kind of goes to my next question. I'm wondering if you can talk about the trends and where you're seeing care being delivered kind of the hospital versus your OBL mix, kind of, expectations for that dynamic in the second half of the year? And then also with the Lightbox 3 510(k) application that was recently submitted if and when that gets approved, how will that impact some of those kind of location dynamics?
Jeff Soinski : Yes. No, great question. So we do see the market overall that OBLs every year continue to become a bigger and bigger factor. Our business is still primarily weighted towards the hospital. Over 80% of our business is hospital business, although we've made significant inroads into the OBL, especially with some very important thought leaders over the last 12 months. And so we will see, I think, continued interest in the OBL. There is a reimbursement dynamic that is happening right now. And you may have seen that the CMS released their 2022 proposed rule for reimbursement for the physician fee schedule in July, and that called for a 22% rate reduction for peripheral vascular CPT codes.  Now that impacts the OBL segment. For inpatient and outpatient payments for peripheral atherectomy, the increases they've actually recommended increases of about 2% to 3%. And so there could be a kind of rebalancing to the detriment of the OBL reimbursement coming out of 2021. This is not any way final, however. This is now currently open to public comment, and so the societies and physicians and providers will have an opportunity to comment with CMS. But in November, the final physician fee schedule will be published and then would go into effect January 1. Now we don't think that, that will fundamentally push things out of the OBL, but it could slow the kind of transition of cases to the or increase hospital usage as there is this rebalancing of reimbursement, which we've seen in other industries.  The good news is, I think we're well positioned either way. We are a highly differentiated product that offers something that no one else can. It's that real-time imaging during a therapeutic procedure. And we sell on those clinical benefits and our physicians use us because they want to provide the best standard of care for their patients. So I think we're well positioned from a product differentiation standpoint. I also think we're well positioned in that we do have such a strong presence and growing presence in the hospital market as well.
Marc Wiesenberger: Very helpful. Understood. And within the press release, you talked about a pipeline of new accounts that are in the process. I'm wondering if you could talk about some of the limiting factors to get them up and running. And maybe what you're doing to accelerate the onboarding of those new accounts over the back half of the year.
Jeff Soinski : Yes. So new account acquisition, we've been successful over the past 12 months in adding new accounts, but we've brought a renewed focus to -- or additional focus to bringing our platform into new accounts: A, with our expanded product line with Pantheris SV and with our Tigereye product, it gives us an opportunity to talk about new technology. We have new data and we'll be rolling out in the back half of the year from our INSIGHT study. If we're successful in getting the in-stent restenosis claim, we will have a massively differentiated directional atherectomy product. And we believe that can be a very effective and exciting way into a new account who is looking for a solution for treating these difficult-to-treat in-stent restenosis cases.  So I think through both our product efforts, through the expansion of our sales force and a management -- sales management focus on developing and advancing a pipeline in a very disciplined way and including just adding another Regional Sales Director who has a tremendous amount of experience in new account acquisition, helping that program. I think we're positioning the company well for the second half. We already have added a significant number of new accounts this quarter and expect to have a strong quarter of new account acquisition, of course, unless we are impacted in a significant way by COVID and, kind of, shutdown of access in the back half of the quarter.  But a lot of it is sales force expansion and growth. We are going to be hiring and expanding into a couple of new territories through the back half of the year. It's the new products. It's the new claims for Pantheris. And then ultimately, Lightbox 3, which we expect to impact us mostly in the 2022 timeframe, speeds that evaluation process, very easy to go in and do an evaluation as opposed to having to ship a 240-pound Lightbox and everything else; very easy to get a new piece of capital into the lab. Again, our focus has really shifted to driving that high-value recurring catheter revenue.
Marc Wiesenberger: Very helpful. And then just a final one for me. With a lot of the heavy lifting done in the first half of the year for the 510(k) applications that were both submitted within the last, kind of, month or two, how should we think about the operating expenses in the back half of the year and the mix, kind of, with R&D and then the SG&A as well?
Mark Weinswig: Yes. Thanks for the question, Marc. So a couple of things. First of all, as Jeff mentioned and as we talked about, we are going to continue to expand our commercial sales team. So we would expect to have more investment in that area. On the R&D front, we talked a little bit about the fact that we do hope to have 2 additional 510(k) filings early next year in the first half of next year, which, obviously, additional opportunities to drive our business. And in addition to that, we're also looking at the coronary program. So we would expect that our R&D expenses should be relatively flat kind of going into the back half of the year just as we continue to invest in these opportunities that we think could give some strategic value to the organization.
Operator: Our next question comes from Nathan Weinstein.
Nathan Weinstein: Great to see the 91% revenue growth figure and congrats on having multiple 510(k) submissions in the quarter. I guess, I should start on margins, really impressive year-over-year margin expansion. Maybe how do we think about margins going forward? And what some of the major levers are for you?
Mark Weinswig: Yes. Thanks Nathan. So just to walk through, obviously, one of the things that we've been able to do is, over the last couple of years, we've been able to continue to increase our margin profile. We had another very, very strong quarter with margins greater than 36% this quarter, gross margin. In addition, as we've mentioned before and as talked about in our prepared remarks, our direct margins or contribution margins are significantly higher than our current gross margins. We're upwards of 65% to 70% direct margins on our product sales and our catheter sales.  So as we continue to drive revenue growth and revenues up higher, we do expect to see additional operating leverage to the margin line as we start to see some of the benefits from that. And as we go into the back half of this year, our goal is to continue to increase our sales force, continue to increase our number of new accounts and our revenue profiles. And as we hopefully see some of the benefits in 2021 and 2022 from some of the 510(k)s that we filed some of the new products, some of the new accounts and the new sales folks on the team, we do hope that we can continue to see that level of progression in our gross margin line.
Nathan Weinstein: Thanks, Mark. And just a question here on the commercial organization. Obviously, there's an interest in continuing to expand that. Can you sort of talk about priorities for where you might want to put headcount going forward?
Jeff Soinski : Yes. So -- hi, Nathan. So when we look at the sales force, as we said, we expect to grow about 20% this year versus last year, so end the year with over 30 folks on board. We did just add to our sales management team. We don't expect to make further additions to sales management this year. The rest of our new hires will be split between clinical specialists who are farming utilization in primarily existing accounts, but also supporting some new account efforts. And those new hires would be typically deployed in an existing territory where we're going to go deeper. We also are looking at adding couple of new territories in the back half of the year where we're actively recruiting for or territory sales managers who are true sales professionals to expand our presence in the new markets that we see as high potential atherectomy markets. Maybe we have one account that we're supporting remotely. But we see a major opportunity to grow our business and our footprint.  So it's really a combination of putting new resource into existing territories and starting to expand into new geographic territories where we feel there's high potential for our Lumivascular platform to penetrate and drive growth. And again, it's a mix of sales representatives or territory sales managers and clinical specialists to support those efforts.
Nathan Weinstein: Thanks, Jeff. Great. Just a final question from me. Sort of with all the pieces coming together between the new accounts, the larger sales force, label expansion, new products and particularly the next-gen Lightbox, if we sort of think about what the synergies are from all those pieces, is it possible we start to see some activity on the top line, maybe faster inflection of growth ahead? Or maybe just any comment you can make on how all those things will work together to drive the business would be helpful.
Jeff Soinski : Yes. I think exactly you laid it out very well. It really is a combination of factors that are going to pulling together and as evidenced in the growth we had this quarter and really over the last quarters and over the past 3 years as we've introduced new products. So I think there's 2 pieces to it. First of all, as we introduce new products, we do expand the appeal of our franchise overall. And when we add new claims, we're really excited about in-stent restenosis for that reason. So the new products, new catheters, I think, drive expansion. They also drive higher utilization opportunities in existing sites, which makes our sales team more efficient and increases our number of catheters used not only per rep, but also per site. So that's a very important way that we're focused on driving growth through improving efficiency of our sales organization, and again, driving our new account activity, which we've talked about.  We think that the -- just the physical expansion of our sales team, although there's a little lag effect, right? As you add folks, you got to get them up to speed. You have to help them build a pipeline and then you start to farm that. But we are making those investments, which is a significant investment for us as we go through the back half of the year and expect them to really impact 2022 as we go forward through 2022. We also expect to have the benefit of the L300 through most of -- which is the Lightbox 3 through most of 2022. And we talked about how that does, we believe, create for more efficient evaluation process and quicker adoption of new accounts.  So again, I think that we've already been benefiting over the last few quarters from a lot of these factors coming together. I think we'll continue to benefit that through from them, and that benefit will increase as we go into the back part of the year, but then are very well positioned to drive an acceleration of growth into 2022. But it requires investment. It requires time and making sure that we're getting an efficient payoff from that investment.
Nathan Weinstein: Great. I appreciate your comments. And congrats for the organization for the strong growth. It's been a real pleasure over the last few years to see the business evolving and look forward to the continued evolution of Avinger ahead.
Operator: [Operator Instructions].
Jeff Soinski: All right. Well, thank you very much for joining our second quarter conference call. We very much appreciate your interest in our company and your support, and we look forward to reporting our continued progress on our third quarter call.
Operator: Thank you. This concludes today's conference call. We thank you for your participation. You may disconnect your lines at this time, and have a great day.